Caroline Stewart: Welcome. My name is Caroline Stewart. And I'm the Global Head of Investor Relations, if you don't know who I'm already. This morning, I'd like to welcome you to our Third Quarter Results Presentation and also to our Investor Update. First of all, we'd like to run through the Q3 results. This morning, Sergio will provide you with an overview of our results, and Kirt will take you through the details. After that, we'd be happy to take questions from analysts and investors. Before I hand over to Sergio, I'd like to draw your attention to our statement regarding forward-looking statements. It refers to cautionary statements included in our discussion of risk factors in our Annual Report 2017 and some of those factors may affect our future results and financial condition. You'll see the same cautionary statement in each of our presentations today. And with that, I'd like to hand over to Sergio.
Sergio Ermotti: Thank you, Caroline and good morning everyone. We will keep our remarks on the quarter fairly short so that we will get a chance to go through the details on Q3 and the way forward, of course, during the day. Overall, Q3 was strong with the net profit up 32% and reported PBT up 37%. We improved our efficiency, maintained our strong capital position, and deliver an adjusted return on tangible equity ex-DTA of 15.7%, up two percentage points year-on-year. Global Wealth Management improved its reported PBT by 3% year-on-year, despite facing tough market conditions, which led to the decline in transaction fees that I flagged back in September. We had record mandate penetration, higher recurring fee income, and continued growth in loans. Net new money was CHF13.5 billion despite a net deleveraging from our Asian clients. The Investment Bank had a very strong quarter, up 75% with notable outperformance in the Americas. Personal & Corporate’s performance was good with resilient revenues and cost discipline. Asset Management was down against a very strong Q3 2017, which included profits from businesses we sold last year. Nevertheless, efficiency improved, and invested assets reached a 10-year high. Year-to-date, group net profit was up 19% to CHF4 billion, the highest in a decade, driven mainly by the EIB and GWM. In line with our strategy, we saw particularly strong growth in the Americas and APAC across businesses. Global Wealth Management profits were up 14% year-on-year, also the highest in a decade. Year-to-date adjusted return on tangible equity ex-DTA was 16.7%, highlighting the benefits and strengths of our diversification combined with a capital-efficient business model. In the first nine months of the year, we have also delivered the strongest capital generation since Basel III was implemented. On top of CHF1.5 billion of CET1 capital build up, we accrued almost CHF2 billion for dividends and repurchased CHF650 million worth of shares, which is CHF100 million above our target for the year. Our capital position remains strong with a CET1 ratio of 13.5%, our leverage ratio CET1 of 3.8%, and a Tier 1 ratio of 5%. Summing up, another strong quarter with excellent capital generation despite a very challenging market condition. With that, I'll pass it over to Kirt, which walk you through the details on Q3.
Kirt Gardner: Thank you, Sergio. Good morning everyone. Beginning the 1st of October, the U.S. dollar has become our functional currency and we will also be our presentation currency for the fourth quarter. From 2019, net interest income should increase by around $250 million compared with full year 2018. For the fourth quarter, we expect a limited net benefit as we incurred cost to reposition our balance sheet that offset any net interest income benefit. Our historic financials will be restated with no material changes expected. Today, we published a time series of both Swiss francs and U.S. dollars. Moving to the third quarter results, we have adjusted for restructuring expenses of CHF120 million and CHF55 million gain on sale. I will refer to adjusted results in Swiss francs unless otherwise noted. As we all observed, the quarter was characterized by escalating geopolitical tensions with deteriorating trade talks, heightened concerns over Italy, and building tensions in the U.S. related to the upcoming elections. As you can see on the slide, these events weighed on markets, particularly in China and emerging markets more broadly. Not surprisingly, our clients froze in reaction to this particularly challenging environment. Transaction volumes were down across all asset classes in all regions, pushing our transaction base income to its lowest level since the crisis. Year-to-date, Global Wealth Management PBT was the highest in a decade. For the quarter, profits were lower despite a 10-year high recurring net fee income. As I just outlined, transaction base revenues were down materially. The cost-to-income ratio rose slightly, reflecting 4% higher expenses as we made further investments in technology and addressed regulatory requirements. Personnel expenses were lower, partly reflecting actions taken in the prior quarter. Invested assets rose 6% and all regions contributed to increased mandate penetration, which reached a new high at 33.9%. Loans were up 8% with higher balances in all regions despite the deleveraging that we saw in Asia-Pacific. Total operating income increased by 2%. Recurring net fee income increased 6% to a new high. Net interest income was up 3% year-on-year with deposit revenue up 14% and positive contribution from loans, partly offset by the expiry of the hedge portfolio on higher funding costs. Third quarter net interest income declined from 2Q 2018 as we saw a reductions mainly related to currency translation, deposit net interest income, and funding costs. Deposit income reduced mostly as clients shifted into higher yielding money market funds and other products, partly initiated by us in our fiduciary role and reflecting industry best practices and as we issued certificates of deposits during the quarter to show up our structural funding for current and anticipated growth in our loan book. Moving to the regional view, we saw a good growth in the Americas and in global ultra. Americas' operating income was at 6% as strong recurring revenue offset lower transaction revenue. In ultra-high net worth, profits rose 15% on good revenue growth as invested assets increased on continued strong net inflows from our wealthiest clients. APAC PBT was down 7%, reflecting the importance of transaction revenues in this region. In addition, we added 82 new advisers, an 8% increase year-on-year. EMEA and Switzerland were down on broadly flat revenues and higher expenses related to tech and regulatory costs. Despite the challenging environment, net new money for the quarter was a respectable CHF13.5 billion. Asia and EMEA included a number of big-ticket inflows from ultra-high net worth clients. In the Americas, invested asset growth was in line with U.S. peers. PBT in our Personal & Corporate business was CHF422 million, down 3% from the previous year despite the continued net interest income headwinds as well as higher technology costs related to our digital transformation program. Revenues were broadly unchanged from the prior year. Recurring fees on custody and mandate assets rose and bundled product volumes were higher. Transaction-based income decreased despite higher FX and referral fees as we reclassified some cost to contract revenues earlier this year. Net interest income was down only slightly as increased deposit revenue offset by lower banking book revenues and higher funding costs. Expenses were up only 2% due to an increase in technology investments and higher regulatory related costs, while G&A and personnel expenses were lower. Annualized net new business volume growth reached the highest third quarter in a decade at 4.5%. PBT for Asset Management was CHF129 million, down year-on-year but up from the second quarter as we started to benefit from the cost actions we took during the second quarter. Costs were down 3% quarter-on-quarter and 6% from 3Q 2018. Normalized for the sale of our fund administration business in Q4 last year, net management fees were broadly stable. Performance fees this quarter were below 3Q 2017 levels in both hedge fund, businesses, and equities due to weaker investment performance, reflecting a less constructive backdrop for active asset managers. In the fourth quarter, performance fees are expected to be broadly in line with 3Q 2018 levels. Invested assets reached a decade high on strong net new money over the last 12 months and favorable markets. Our IB delivered another very good quarter with 44% PBT growth, driven by strong operating leverage. Return on equity was 21%, up six percentage points from 3Q 2017. Overall, our IB results compare well with what peers have reported to-date. On a regional basis, we have particularly strong performance across the Board in the Americas where PBT more than doubled. The strong quarter was driven by our ICS businesses as the same environment that drove our Wealth Management clients to the sidelines generated volatility that stimulated institutional client activity. Equities increased 15% on higher revenues across all regions and products, with stronger client flows in finance and services. Including corporate equity derivatives to be more comparable with peers, equities rose 4%. FRC had a strong quarter, with revenues up 29%, with increases in all products. We continue to see benefits from our FX e-trading platform investments, with volumes up 25%. Corporate Client Solutions were down from a very good third quarter last year. Advisory had a strong quarter as we increased fees from mergers and acquisitions against a decline in the fee pool. Acquittal capital markets rose -- revenues were significantly lower compared with an exceptional quarter last year. Costs were down 2%, mostly on lower personnel expenses. We reduced our cost/income by seven percentage points. We achieved these strong results, continuing to manage our resources prudently. Corporate Center retain loss was down, reflecting lower expenses for litigation in Corporate Center services. The factors we highlighted last quarter continue to impact group ALM and structural risk management net income after allocations was a negative CHF120 million. We are taking actions to improve group ALM results going forward, which I'll come back to later today. Non-core and legacy portfolio posted a small loss of CHF25 million, including valuation gains on our auction rate securities portfolio. During the fourth quarter, we will extend the recognition period of our U.S. tax laws DTAs in our IHC tax group to reflect the full life of the underlying tax losses. As a result, we expect to re-measure these DTAs less frequently, thereby reducing tax volatility in our earnings. UBS' profits should be shielded from most cash taxes over the next decade. In 1Q 2019, we will start to amortize these U.S. tax loss DTAs, reducing their overall contribution to shareholders' equity. We are expecting to make other DTA adjustments relating to our U.S. operations in the fourth quarter. All of these adjustments should have a limited net effect on net profit, IFRS equity, and CET1 capital. From 2019, we anticipate the effective tax rate will be around 25%, of which less than half will be cash tax relevant, contributing to 88% of our PBT accreting to CET1 capital or being available for returns to shareholders. Our capital position remains strong, with our CET1 ratio comfortably above the 2020 requirements, and we have TLAC of over CHF80 billion. To wrap-up, we had a good third quarter that highlighted the benefits of our diversified business model, contributing to a strong 2018 year-to-date. With that, Sergio and I will open it up for questions.
A - Caroline Stewart: So, I'd like to forehand, first of all, all of you’ve got microphones on your seats and they're on one side or the other of your armrest. And you need to hold the button down on the microphone when you're speaking, otherwise, we can't hear you. Second thing I'd like to remind you is this is a Q&A for investors and analysts. There are some journalists in the room and they will have plenty of time to speak to management in meetings later on. And third thing, I'd like you to keep your questions to two questions max please, and finally, questions on the results because we got plenty of time for the investor update later on. Thank you very much. Andy?
Unidentified Analyst: Let me see if I can work this. This is part of your tech demo. I've seen this microphone contraption. The APAC inflows, I think, certainly positively surprised for me. Can you talk us through how lumpy the inflows were there? And then how -- maybe the follow-up to that would be, how client attitudes have changed in APAC? And whether have clients become more risk-averse there and that's actually helped your inflow numbers there? Is there a flight-to-quality benefit that you've seen there, please? Thanks you.
Sergio Ermotti: In terms of Asia-Pacific, as you noted Andy, we had a quite a good quarter for inflows at CHF8.4 billion despite the very challenging quarter and despite the fact that China markets are down 21%, Hong Kong is down 16%. Now, as we said before, there actually is often a complete separation from how we see clients behaving what the risk attitudes are versus the actual flows in the quarter and this is example of one of those quarters. It's not always the case. Also, as we said before, in order for us to have very good net new money flows, generally, we see large ticket items and that was certainly the case in the third quarter. We saw a couple of large ticket inflows from our very wealthy clients, our entrepreneurs in the Asia-Pacific region. And this is despite the fact that we actually had CHF1.7 billion in deleveraging in the quarter. So, absent that, we actually would have a much better net new money quarter overall for Asia-Pacific. And I think, as you said, it certainly is reflective of the fact that we are the leading franchise in Asia-Pacific. And UBS, of course, is a meaningful name, one that's highly valued by our clients and I think our flows during the quarter were reflective of that. Now, you mentioned client attitudes. I don't -- as I said, I don't see a connection between unnecessarily the fact that they were risk-averse, and we saw good flows.
Unidentified Analyst: Two questions, please. First on the cost control and Investment Bank. Is the -- I mean, the cost/income ratio improved materially. The costs were flat in spite of the revenue growth. Is there -- should we expect like a true-up so to call in Q4? Or is it just generally you think that's the right cost/income ratio? And then on the tax rate, so does this basically mean -- I'm not quite sure how should I understand the 25% and 12%. So, we are now having a 12% tax rate? Thank you.
Kirt Gardner: Yes. So, in terms of IB, as you saw, we have very nice revenue growth and we also had a very good expense discipline. And I would note to that personnel expenses contributed to the year-on-year cost overall. I would also note that we managed our compensation on a full year basis. However, at the same time, the Investment Bank has been managing its cost very, very tightly this year as they have in the past. To comment just on our tax rate, what we highlighted is our tax rate overall, we expect to be around 25%. But within that 25%, as a consequence now of us amortizing our DTAs going forward with the re-measurement on a full life basis, we expect that about 13% of that 25% will actually be DTA amortization, which will not have an impact on our accretion of capital. So, therefore, our cash tax rate will be 12%. As I said, that means that about 88% of profits are available either to accrete or to return to our shareholders. Yes, I would also mention, as always, you should expect that in the fourth quarter, we will have U.K. levy expenses as we do not amortize for that throughout the year and that will have an impact overall. We estimate that, that should be around CHF70 million with a large portion of that growing to the Investment Bank.
Unidentified Analyst: Good morning. Yes, it works. A couple of question from me on the U.S. side of Wealth Management. So, first of all, on net new money, it was essentially zero, so if you could give us an update on why do you think that was the case and how do you see this evolving in Q4? And then the other question, always on the Wealth Management Americas, regards NII. So, we have seen NII coming down and you mentioned due to the fiduciary duty, some movements to money market funds. Shall we expect this trend to continue or is this a good run rate from here? Thank you.
Kirt Gardner: In terms of net new money in the U.S., as you know, what's important to us, most important is that our invested assets were up 6% in the Americas, so year-on-year and that compares favorably to our peers. And in the U.S., our competitors do actually do not report net new money, so it's hard to get a read on what the trends are in the market. All we can do is to conclude that given our invested asset growth is in line that we probably -- there's probably not a big divergence in what's happening with flows in our peers. Now, the second point overall is the net new money certainly reflected the fact that we still have outflows from net recruiting. However, going forward, we feel very good about our business model. We feel very confident in the fact that we're going to generate net new money growth in the Americas in our 2% to 4% range and you'll hear more from Tom and Martin later today on how we expect to accomplish that. In terms of our net interest income, you noted -- and this is not surprising, it's actually occurring across the industry that as interest rates continue to rise, there's pressure on deposits and deposits are moving in the money market funds and we saw that during the quarter. In addition, as I mentioned, we did actually launch a CD program and we increased our overall CDs, and that contributed to an increase in our cost of funding. Now, on the movement of clients to money markets, part of that was initiated by us because we think it's good industry practice for our clients that where it's appropriate for them to move in money markets. I think going forward, we'll see a balancing act between our margins and also our deposit flows. And while on the short-term, we're probably going to see a similar trend on what we saw in the third quarter, we still expect to see tailwinds in our net interest income line as we go through next year.
Unidentified Analyst: So, on the same kind of issue, do the CHF0.9 billion outflows in the U.S. include any kind of impact from moving deposits into AUM into money markets? Or is it a clean figure?
Kirt Gardner: We've had about CHF4 billion in deposit outflows, mostly concentrated in our outflow in clients and that did actually contribute to the year-to-date net new money results.
Unidentified Analyst: And as a second question, given that you've recently sold SmartWealth, do you include any kind of benefit on your accounts this quarter? 
Kirt Gardner: For the sale of SmartWealth, we actually had an impairment, so our -- the restructuring number that we adjusted for included a small impairment for SmartWealth. But it was very small, so it's really not much impact at all overall in our financials in the quarter.
Amit Goel: Hi. It's Amit from Barclays. It's just follow-up, as you said, on the net interest income discussion. I'm just curious whether these trends that you're seeing were -- are reflected within your interest rate sensitivity guidance? And also, just again, more geographically, so is the NII impact primarily in the Americas part of the business? Or is that something you're seeing across other geographies as well? Thank you.
Kirt Gardner: The net new money guidance that we -- excuse me, the net interest guidance that we provided is always based on a point of time. It's based on a static balance sheet composition and it's based on forward rates. So, therefore, it doesn't reflect any potential change in balance sheet, either positive or negative, new inflow or outflows going forward that would impact the guidance that we provide. In terms of -- second question was the -- what was your second question?
Amit Goel: Sorry. The second part was about the geographic split of the NII?
Kirt Gardner: Yes. Thank you. Overall, if you look at the NII trend in general, the fact that we had tailwinds; it's not just one region. It happens -- it's the U.S., it's the Americas. It's also our Asia-Pacific region. It's some of our clients that have U.S. deposits in the offshore business and Europe. And we've seen broadly positive deposit trends, particularly across the U.S. and Asia-Pacific. That's been partly offset actually by negative NII trends, particularly in Europe and Switzerland with the negative rate environment.
Amit Goel: Thank you.
Unidentified Analyst: I just got a detailed question, technical, if you want, on page 15. Can you just explain, so why are you -- why is UBS doing this now? And what are the amounts involved? So, -- and also, can you explain the dynamics? So, what happens here? So, you take all the off-balance sheet DTAs, you put them on balance sheet and you offset that with the write-off of existing DTAs, or how does the mechanics work?
Kirt Gardner: So, the reason why we're looking to do this in the fourth quarter. We expect to do this, I should emphasize, as we are still finalizing the planning at the legal entity level which triggers this. It's, first of all, we're taking advantage of the tax reform we saw late last year. Secondly is that we are approaching actually a much shorter duration in terms of the remaining life of the DTAs with roughly about 10 years left. Now, in terms of the dynamics, there are a lot of technical moving pieces. And so -- and what we highlighted here is that the IHC tax groups is where we see the write-up. That's where we have the majority of the earnings. And that will be partly offset actually by a potential write-down in the U.S. ABG, the branch group, as we effectively see limited value in those DTAs going forward. There are some other changes as well, which is why we indicated the combined impact we expect to be limited overall to the fourth quarter on our tax line as well on our equity. And we'll provide an opportunity to actually ask more technical questions at some other point, of course, related to DTA movements.
Nicholas Watts: Good morning. Nick Watts from Redburn. Just a question on planned transaction activity. You obviously saw a slowdown in the quarter. Could you perhaps just talk about the mix of that slowdown? Was it more pronounced in Asia? How the U.S. did on a relative basis? And should we think about, if it was more pronounced in Asia-Pac, the slowdown, is it a harbinger of things to come for the fourth quarter? Thank you.
Kirt Gardner: Yes, as we highlighted, and actually, the reduction in transaction was really pronounced, it was down 12% year-on-year. The lowest transaction revenue we've seen in the crisis. Now, we saw reductions across all regions, so all regions were impacted. However, in Asia-Pacific, we rely more on transaction revenue as a percentage of our total income versus all the other region, and that's just the nature and then clients engage with their wealth and their investments. And so therefore, the overall impact on the year-on-year basis was a bit more pronounced in Asia-Pacific than it was in the other regions. Now going forward, of course, we can never predict what's going to happen in markets and how clients will react. Certainly, we have not seen an improvement in the environment. Look at what happened yesterday with the Dow. That would certainly be indicative of the likelihood that clients are still concerned and still remain on the sidelines as we get into the fourth quarter.
Sergio Ermotti: Maybe -- is that when you talk to clients, the reality is that for the time being, they are still very happy about their asset allocation, so seeing those movements doesn't lead into reshuffling of their portfolios. So, it remains to be seen how long this is going to be the case. And if they start to move down their allocation on equities, you may see volumes upping up and maybe going into more mandates or -- so at this time, particularly in the U.S., people are pretty happy about. You saw in September, Octobers, market is going up. They wouldn't touch their portfolio for the time being. As the market goes down, they are not touching it. So, that's really in a nutshell what's going on. It's also was interesting to see in Asia the shift away from maybe the tech sector in China, rotation into the same teams in the U.S. but with less cash. So, net deleveraging -- or net-net deleveraging, as Kirt mentioned, also a slight decrease of asset allocation on tech and stocks in favor for geographic diversification.
Caroline Stewart: The microphone is in your seat.
Sergio Ermotti: You already asked two questions. That’s all we [indiscernible]
Unidentified Analyst: [indiscernible]. Sorry, could you give a bit more color on this deposit outflow in the U.S. to money market products? Could you say like how much deposits are actually flowing out in that particular quarter out of the total? And you talked about raising CD, so what kind of impact on your, say, cost of liabilities are you incurring in Wealth Management Americas as you see that trend coming through? And then my second question is on those strong APAC net money flows that you've seen, do you benefit there from a flight to quality as we see risk aversion in the emerging markets? Is it the case that actually counter-cyclically, these clients see you as an opportunity to invest their money and diversify globally?
Kirt Gardner: Yes. So, in terms of the trends that we've seen in our deposits, first of all, for overall, Global Wealth Management deposits are roughly flat year-on-year. Now, we have seen reduction in our deposits in the U.S. We saw that in part because we actually initiated some movement in the money markets and this was done for capital reasons where we wanted to reduce part of the capital burden. But then, in addition to it, as I mentioned, we also did it for fiduciary reasons as we think the responsible thing to do for certain clients is to ensure that they are properly invested. Now, during the quarter, what was the actual impact of movements we saw in the quarter, we haven't indicated that number. We'll get back to you on what that number is. But at the same time, we've been doing in the U.S. to shore-up our overall funding base. As I mentioned, we did launch a CD program. Our total CD volumes currently are about CHF3.7 billion. We increased our CD volumes by about CHF2 billion in the quarter. We also saw an overall cost increase of our CD program by about 1.5 percentage points, so that contributed to the funding cost. Overall, our deposits costs were up by about six basis points in the quarter, so that made a contribution. Now, going forward, we're going to use all the mechanisms available in order to shore-up our structural funding as we manage this, as we do anticipate to continue to grow our loans well into next year. And as I said, you'll hear more from Tom and Martin on this. I addressed the point before on the flight-to-quality. As I said, we are a leading franchise in Asia by far, UBS, particularly the Swiss name, which is highly valued by Asian clients. So, you would naturally expect that in times of stress, we would see some benefit from that. How much benefit we signed the third quarter, it's really hard to estimate.